Operator: Good morning ladies and gentlemen and welcome to the Fourth Quarter 2012 Earnings Call. My name is John, and I'll be your operator for today's call. (Operator Instructions) Later, we’ll conduct a question-and-answer session. Please note that this conference is being recorded. I’ll now turn the call over to Barbara Gasper. You may begin, Barbara.
Barbara L. Gasper: Thank you, John. Good morning, everyone, and thank you for joining us today, either by phone or webcast, for a discussion about our fourth quarter and full-year 2012 financial results. With me on the call this morning are Ajay Banga, our President and Chief Executive Officer; and Martina Hund-Mejean, our Chief Financial Officer. Following comments from Ajay and Martina, the operator will announce your opportunity to get into the queue for the Q&A session. Up until then, no one is actually registered to ask a question. This morning's earnings release and the slide deck that will be referenced on this call can be found in the Investor Relations section of our website, mastercard.com. Both the earnings release and the slide deck include reconciliations of any non-GAAP measures to their GAAP equivalent. All of these documents have also been attached to an 8-K that we filed with the SEC earlier this morning. A replay of this call will be posted on our website for one week through February 7th. And finally, as set forth in more detail in today's earnings release, I need to remind everyone that today’s call may include some forward-looking statements about MasterCard's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance are summarized at the end of our press release, as well as contained in our recent SEC filings. With that, I'd like to turn the call over to our CEO, Ajay Banga. Ajay?
Ajaypal S. Banga: Thank you, Barbara. Good morning, everybody. As usual, before Martina gets into the details of our financial results, I’d like to give you some of my thoughts from another level of looking at our business. In the fourth quarter, we reported net revenue growth of 10% and that’s really 12% after adjusting for currency. And that drove operating income growth of 18%, which excludes last year’s special item for the litigation charge and a reported EPS growth of 21% or FX adjusted that EPS growth is 24%. So this quarter completed a solid year with performance in line with our expectations. For the full-year 2012 reported net revenue grew 10% that number FX adjusted is 13%. The primary drivers of this will process transaction growth rates that reached the mid-20s as well as annual GDV and cross-border volumes in the mid-teens. We also delivered a reported EPS growth of 18% for the year or 22% FX adjusted. So, now let me talk a little bit about the global environment, and I know that’s on everybody’s minds and let’s start with the United States where we continue to see a mixed economic picture. The economy was a bit choppy in the fourth quarter with Hurricane Sandy and the fiscal cliff debate negatively impacting both consumer confidence and retail sales. Consumer confidence levels actually declined 11% over the quarter, and our SpendingPulse data showed that retail sales growth x auto decelerated each moth from October through December. For the quarter as a whole retail sales growth x auto was up 3.9% over the prior-year from 4.2% in the third quarter, so you can see that trend between the third and fourth quarter and within the fourth quarter the monthly growth rate was decelerating. However, there were also some positive trends. So, in December consumer spending increased in 8 of the 11 retail sectors that we track in SpendingPulse with the strongest growth continuing to come from furniture, hardware associated with what we’ve been saying for a while was the rebound in housing. But this December, lodging and restaurants also showed strong growth in sales.
[ph] there I 3rd (3:56):
 :
Martina Hund-Mejean:
Barbara L. Gasper:
Operator:
Craig Maurer - Credit Agricole Securities (USA) Inc., Research Division:
Ajaypal S. Banga:
Craig Maurer - Credit Agricole Securities (USA) Inc., Research Division:
Operator:
Jason Kupferberg - Jefferies & Company, Inc., Research Division:
Ajaypal S. Banga:
Jason Kupferberg - Jefferies & Company, Inc., Research Division:
Ajaypal S. Banga:
Barbara L. Gasper:
Operator:
Rod Bourgeois - Sanford C. Bernstein & Co.:
Martina Hund-Mejean:
Ajaypal S. Banga:
Rod Bourgeois - Sanford C. Bernstein & Co.:
Ajaypal S. Banga:
Barbara L. Gasper:
Operator:
Sanjay Sakhrani - Keefe Bruyette & Woods:
Ajaypal S. Banga:
Sanjay Sakhrani - Keefe Bruyette & Woods:
Barbara L. Gasper:
Operator:
David Togut - Evercore Partners Inc., Research Division:
Barbara L. Gasper:
David Togut - Evercore Partners Inc., Research Division:
Barbara L. Gasper:
Ajaypal S. Banga:
David Togut - Evercore Partners Inc., Research Division:
Ajaypal S. Banga:
David Togut - Evercore Partners Inc., Research Division:
Barbara L. Gasper:
James Friedman - Susquehanna International Group, LLP:
Ajaypal S. Banga:
James Friedman - Susquehanna International Group, LLP:
Operator:
Bryan Keane - Deutsche Bank, North America:
Martina Hund-Mejean:
Ajaypal S. Banga:
Bryan Keane - Deutsche Bank AG, Research Division:
Ajaypal S. Banga:
Bryan Keane - Deutsche Bank AG, Research Division:
Operator:
Glenn Fodor - Autonomous Research:
Ajaypal S. Banga:
Glenn Fodor - Autonomous Research:
Ajaypal S. Banga:
Glenn Fodor - Autonomous Research:
Ajaypal S. Banga:
Barbara L. Gasper:
Operator:
Ken Bruce - Bank of America Merrill Lynch:
Ajaypal S. Banga:
Barbara L. Gasper:
Operator:
Ajaypal S. Banga:
Julio Quinteros - Goldman Sachs & Co.:
Ajaypal S. Banga:
Julio Quinteros - Goldman Sachs & Co.:
Martina Hund-Mejean:
Julio Quinteros - Goldman Sachs & Co.:
Ajaypal S. Banga:
Julio Quinteros - Goldman Sachs & Co.:
Barbara L. Gasper: